Operator: Good morning, and welcome to the Duluth Holdings Inc. Second Quarter 2024 Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Nitza McKee. Please go ahead.
Nitza McKee: Thank you, and welcome to today's call to discuss Duluth Trading's second quarter financial results. Our earnings release, which was issued this morning, is available on our Investor Relations website at ir.duluthtrading.com under Press Releases. I'm here today with Sam Sato, President and Chief Executive Officer; and Heena Agrawal, Senior Vice President and Chief Financial Officer. On today's call, management will provide prepared remarks, and then we will open the call to your questions. Before we begin, I would like to remind you that the comments on today's call will include forward-looking statements which can be identified by the use of words such as estimate, anticipate, expect and similar phrases. Forward-looking statements, by their nature, involve estimates, projections, goals, forecasts and assumptions, and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. Such risks and uncertainties include, but are not limited to those that are described in our most recent annual report on Form 10-K and other SEC filings as applicable. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. And with that, I'll turn the call over to Sam Sato, President and Chief Executive Officer. Sam?
Sam Sato: Thank you for joining today's call. I'm pleased with our second quarter performance as we delivered top-line sales growth of 1.8%, while expanding our gross margin 90 basis points as we began to see the benefits of our sourcing initiatives. The quarter was highlighted by strength in women's and our first layer business, as well as strength in our cooling technologies across Armachillo and Dry on the Fly, keeping consumers cool during the hot summer months. We saw a trend line improvement in both conversion and transactions, coupled with healthy increases over last year in both average order value and units per transaction. Before I review our second quarter results, I'm excited to update you on a key addition to our leadership team. On August 12, Eli Getson joined Duluth Trading Company as our Senior Vice President and Chief Merchandising Officer. Eli has more than 20 years of leadership and expertise. Most recently, Eli served as the Senior Vice President and General Merchandise Manager at Academy Sports and Outdoors, where he was responsible for merchandising, strategic planning and product innovation. Eli brings with him a wealth of experience and knowledge and has hit the ground running. We look forward to sharing his insights on future calls. I'm excited to provide an update on the progress we are making on our key strategic initiatives, including product development and sourcing, logistics network optimization and our retail store portfolio strategy. As mentioned in prior calls, we are seeing the benefits of our sourcing and product innovation efforts. This remains a critical strategic unlock for the business, which is allowing us to bring to market high-quality, innovative products more frequently, increase our speed to market, and significantly reduce our product costs. As Heena will discuss, we remain on track to realize significant product cost benefits this year with more to come over the next several years. I shared on the first quarter call that we identified and began Phase 2 of our fulfillment center network plan to maximize productivity and cost. Our highly-automated fulfillment center at Adairsville is now efficiently processing nearly 60% of all online orders and replenishment volume. This has increased overall network capacity and enabled us to exit one of our legacy fulfillment centers. With the variable CPU in Adairsville 65% lower than the average legacy facilities and elimination of fixed costs from the exit, we anticipate annualized run rate savings of approximately $5 million with expected benefits to start late in the fourth quarter of this year. We're making great progress on our retail store portfolio strategy. Stores are a critical component of our omnichannel strategy with nearly two-thirds of new consumers preferring to shop in store. In addition, our omnichannel consumers spend more on average per order and shop at more than twice the frequency of our single-channel consumers. Stores also offer important services like returns, buy online, pick up in store, and fulfilling orders, creating a seamless consumer experience. Combining our digital-first strategy with a relevant and productive store portfolio is critical to winning in an omnichannel ecosystem. The three key pillars of our retail store portfolio strategy include new stores, existing store evaluation and rationalization and revamping marketing to drive traffic and brand awareness. As we look to future new sites, our primary criteria are location, market share opportunity with our target customer and productivity. Format and assortment will be based on our Store of the Future with equal representation of men and women's products. We've recently signed two LOIs and are targeting new store openings in the second half of next year. In terms of our current fleet, about 25% of our stores are coming up for lease renewals through 2026. We're evaluating these locations for remodel, relocation or exit. In the short term, we're leveraging our strengths to capture market share and to optimize our marketing spend. Longer term, we're focused on building our existing presence in priority markets and entering new priority markets. We look forward to updating you on our retail store portfolio strategy on future calls. Our key strategies are on track with benefits flowing through. In addition, we're leveraging the benchmarking study to identify and implement structural improvements to improve the business model with a sense of urgency. Let me now provide key second quarter highlights on product innovation and consumer and brand marketing successes. Our level of newness sequentially improved in the second quarter and increased by more than 300 basis points when compared to last year. Some product innovation highlights that resonated with consumers include: Our women's business grew nearly 6% this quarter with positive results across both brands, particularly in Duluth, growth was largely driven by strength in the women's first layer business, which grew by 22%. We continue to see success across our Armachillo, Buck Naked and Dry on the Fly collections and women's bras flourished with a 20% increase, driven by the popularity of our TeeLUXE bra as well as plus sizes. Additionally, our Heirloom Garden collection continues to be a favorite for her as evidenced by growth of 18% this quarter, bolstered by a variety of new prints. In our men's business, the Duluth brand delivered growth of 1% this quarter. The men's Armachillo collection led the way with a strong 10% increase while woven short saw an 8% uplift driven by the success of the DuluthFlex Fire Hose Sweat Management and Dry on the Fly lines. These collections were all haloed by our cooling technology focus that ran for the majority of June and July. Our Double Flex Denim collection also performed well with a growth of 3%. Our focus on expanding the woven shirt category resulted in growth of more than 40%, driven by strength in barbecue shirts and our Wrinklefighter collection. Within AKHG, we saw double-digit growth in our women's Lost Lake collection as well as Renew Bamboo across both men's and women's. With regard to our recently launched Fitness collection, we remain encouraged by its performance in the first half. And as previously stated, is on track to be a meaningful part of our overall AKHG business this year. As part of our Hero underwear collection, we launched Bullpen 3D in July, an enhancement to our Bullpen technology that provides even more support and lift while reducing chasing and pinching. In early August, we introduced souped-up sweats, [Duluth's take] (ph) on a better basic, which features a heftier 14-ounce brush cotton for added softness and warmth. And later this month, we're excited to launch two new Duluth footwear collections, Founders and Ground Effect, which will expand our work and casual offerings. Looking ahead, we're introducing several exciting collaborations and new prints. In the coming weeks, we will continue our [indiscernible] underwear collaborations with the launch of [Hanes] (ph) alongside a Pheasants Forever colab featuring a new on-brand underwear print. Building on the success of the Busch BBQ shirt from earlier this year, we're launching a Busch hoodie, t-shirt and socks in October. We're adding new prints to our popular Heirloom Garden collection that will continue to drive excitement throughout the fall harvest season. Our strategic shift towards targeting younger consumers continues to gain momentum. New consumers are five years younger than existing consumers with the average age trending younger for the past several years. Further, when looking at our active customer file for the quarter, the biggest gains in both customer count and sales growth came from customers below 50-years-old, and importantly, women's buyers increase in penetration within our target customer. We're building on the success with our mobile-first strategy as mobile penetration continues to grow as a percentage of total, both across visits and sales on our website. In the quarter, 70% of visits and 57% of sales came through a mobile device, reflecting increases of 100 basis points and 230 basis points, respectively. Further, conversion on mobile devices improved 10 basis points, and we saw a sales increase of nearly 10% in the quarter. On the marketing front, in the second quarter, we successfully focused our paid media on brand awareness, driving higher orders, conversion and average order value. This is the first time we invested in Amazon Prime Video for Mother's Day and Father's Day, targeting new buyers in the 40- to 50-year-old cohort. We continue to grow our influencer program and launch targeted social and search tactics to drive consumer engagement, resulting in improved traffic trends. Our e-mail optimization drove 10% higher traffic sequentially versus the prior quarter. We have exciting marketing campaigns and events planned for the second half of the year. On August 10, we hosted our second in-store Underwear Trade-Up event with much fanfare. The event was even more successful than the April event as we not only experienced an increase in in-store traffic, but the brand building and awareness also drove higher traffic online. We are also pleased to see an increase in the proportion of women participating in the Underwear Trade-Ups, a strategic consumer target as we continue to grow our women's business. We're thrilled to be partnering again with Yellowstone, which returns this November. We've planned some exciting new creative to air during the premier episode and just in time for the holiday selling season. The creative will include a new brand spot as well as a custom vignette featuring a Yellowstone cast member. As we move into the back half of the year, we'll be leaning further into audio media with several podcasts as well as streaming media with Amazon Prime, Max and Hulu. Collectively, these networks reached nearly 80% of our target 40- to 50-year-old consumer and more than 70% of existing Duluth buyers. In summary, we returned the business to top-line growth and expanded gross margin. Importantly, we're realizing benefits from our long-term strategic initiatives, including logistics and supply chain, product development and sourcing and our digital mobile-first efforts. We filled an important merchandising leadership role. We're delivering a higher level of product newness and innovation, which is resonating with both existing and new customers. We're taking swift action on structural initiatives like Phase 2 of our fulfillment center network restructuring plan, and we've made great progress on our retail store portfolio strategy. We ended the quarter in a strong financial position. During the quarter, we paid off $11 million of outstanding debt on our line of credit, leaving us debt-free. Our total liquidity stood at $210 million, and our ending cash balance was approximately $10 million. We're leveraging and benefiting from Heena's deep experience, expertise and leadership in identifying and driving structural improvements and strategic priorities with financial discipline. Our "can do" spirit continues to fuel all that we do. I'm incredibly proud of our team's hard work in what remains a dynamic consumer environment, and I look forward to building upon our many successes. Now, I'll turn the call over to Heena to discuss Q2 financials and our full year outlook.
Heena Agrawal: Thanks, Sam, and good morning. Echoing Sam's comments I am proud of the team for delivering top-line sales growth, coupled with gross margin expansion this quarter in what remains a resilient and value-seeking consumer environment. We not only successfully returned the business to growth with expanding gross margins, but also took important steps towards improving the structural aspects of our business model. As I stated on our first call, our primary focus is to unlock the full profit potential of the enterprise and to strategically deploy capital to unlock growth and white space opportunities. Realizing savings from Phase 2 of the fulfillment center optimization, evaluating the existing store portfolio to increase productivity and profitability and allocating capital to new stores are key steps towards making structural changes to drive sustainable, profitable growth. As Sam mentioned, we started Phase 2 of our fulfillment center network to maximize productivity and capacity. We are leveraging our most efficient and cost-effective Adairsville fulfillment center for a planned exit out of our Dubuque, Iowa facility by the end of October. This will incur restructuring expenses of $7.4 million, with $4.4 million in cash and $3 million in write-offs. The $7.4 million in restructuring expenses will be spread between two quarters with $1.6 million recognized in Q2 and $5.8 million in Q3 this year. We expect to begin realizing savings late in Q4 for a full year annualized run rate savings of $5 million. Adding more color to the progress on our retail store portfolio strategy that Sam spoke about earlier, we have identified priority markets and are on track to open two new sites in the back half of 2025. As it relates to our existing fleet, 15 stores or almost 25% of our current store portfolio are coming up for renewal by 2026. We are actively evaluating options, including remodel, relocate or exit, to enhance the productivity and profitability of our portfolio. We are revamping our store marketing efforts to include local advertising, experiential events and targeted digital marketing to drive traffic and brand and store awareness in priority markets starting this fall. More to come on the glide path of our strategic initiatives and structural improvements to the business model in future calls. Now speaking to our Q2 results. Today, we reported second quarter 2024 net sales of $141.6 million, up 1.8%, with gross margin expansion of 90 basis points versus last year to 52.3%. Our reported EPS loss is $0.11 and adjusted EPS loss is $0.02, favorable to last year by $0.04. Adjustments to EPS include $1.6 million in restructuring charges and a one-time sales tax contingency of $2.4 million. Adjusted EBITDA for the quarter was $10.6 million at 7.5% of net sales, up $2 million or 23.9% versus last year. Starting with our top-line. Our Q2 2024 net sales growth of 1.8% to $141.6 million was fueled by strong growth in the average order value, driven by higher units per transaction. All months of the quarter were positive, with June representing the strongest growth contributor. Shopper conversion increased slightly over the prior year and remains strong across both our direct and retail channels. Our women's business posted strong quarter growth of 5.8%, driven by strength in the first layer business. Men's trend improved sequentially to almost flat year-over-year, driven by strength in Armachillo and the Double Flex Denim collection. From a channel perspective, both direct and retail channels saw improved sales versus prior quarter. Retail store sales declined 4.4%, as traffic trends improved sequentially, declining 4% versus 7% in the prior quarter. Direct channel sales grew 5.6%, a significant reversal from Q1, benefiting from double-digit growth in units per transaction. In addition, mobile penetration of site visits and sales continues to increase over last year. Moving to gross margin. For the second quarter, our gross margin expanded 90 basis points to 52.3%, driven by improved product cost from our direct-to-factory sourcing initiatives. We have now sold through the older higher-cost inventory, and our gross margin year-to-date is 30 basis points higher than last year. Partially offsetting the improvement in product cost was a lower AUR driven by deeper promotions and a higher than planned mix of clearance sales this quarter. Moving to second quarter SG&A expenses. SG&A expenses increased 4.6% to $76.3 million at 53.9% of sales. This included a non-recurring $2.4 million estimated sales tax expense for prior fiscal years. Excluding the one-time sales tax expense, adjusted SG&A increased by 1.3% to $73.9 million and leveraged by 20 basis points to last year at 52.2% of sales, ahead of our expectations. The favorable leverage was mainly driven by efficiencies across logistics and our fulfillment center network, partially offset by higher fixed costs and depreciation from foundational investments. For the quarter, advertising expenses declined slightly compared to last year, leveraging by 20 basis points to 8.3% of sales. For the first half, advertising expenses as a percent of sales are in line with last year as we continue to invest behind our brands, support new product innovation and drive omnichannel sales. Variable or selling expenses, which include outbound shipping costs as well as labor across our customer contact centers, fulfillment centers and store fleet, continued to improve, leveraging by 120 basis points. The favorable leverage was driven by optimizing our outbound shipment network, new parcel agreements and efficiencies across the fulfillment center network, particularly at Adairsville. Fixed expenses or general and administrative expenses, excluding the sales tax contingency, increased 6.7%, deleveraging by 120 basis points, primarily from annualizing depreciation and fixed costs from strategic initiatives like the Adairsville investment initiated in Q3 of 2023. As mentioned earlier, we recognized two discrete expenses this quarter. The first was a $1.6 million restructuring expense from the exit of one of our legacy fulfillment centers. The second was a $2.4 million estimated sales tax expense recorded in SG&A. After reviewing the company's sales tax positions, it was determined that certain local sales taxes within one state had not been fully collected in the prior fiscal years, resulting in a contingency expense. Our Q2 adjusted net loss was $0.6 million or $0.02 per diluted share compared to a net loss of $2 million or $0.06 per diluted share last year. Adjusted EBITDA was positive $10.6 million in the second quarter and positive $12.4 million year-to-date. Inventory balance was up 7% or approximately $11.6 million, with clearance inventory at 11% versus 7% last year and 89% in current products. Our capital expenditures for the first half were $8 million versus $34 million in the prior year, primarily used to invest in strategic digital capabilities as per our technology roadmap. As Sam mentioned, during the quarter, we paid off $11 million of outstanding debt, ending the period with no debt on our line of credit. We had $9.8 million of cash and cash equivalents at the end of the quarter. Our balance sheet remains strong with liquidity of $210 million. Now, turning to our outlook for fiscal year 2024. We are reconfirming our full year top-line sales guidance of $640 million, which includes 60 basis points from the cost per order and approximately 150 basis points of growth from the 53rd week. Our adjusted EPS guidance is negative $0.22, which excludes the impact of restructuring and the one-time sales tax expense. We are reaffirming our adjusted EBITDA guidance of $39 million for the full year. We expect to continue to benefit from year-over-year gross margin expansion in the second half, driven by lower product costs, partially offset by higher clearance inventory. We are now projecting full year gross margin expansion of 150 basis points. Our product sourcing and innovation efforts are expected to continue to reduce product costs and expand margins for the next four years as we increase the percentage of product sourced direct from factory. We expect SG&A, excluding the sales tax contingency to deleverage by approximately 80 basis points, an improvement versus prior guidance as we realize additional savings from efficiencies in fixed expenses like services and contracts and benefits from our fulfillment center network optimization initiative expected to begin late in Q4. Advertising expenses are planned to be in line with sales growth at approximately 11% of sales. Variable or selling expenses will continue to leverage by over 120 basis points, driven by transportation savings from addition of carriers as of mid-April and continuing Adairsville efficiencies. Fixed expenses or general and administrative expenses are expected to be higher, deleveraging by approximately 200 basis points primarily from annualizing depreciation and fixed costs of strategic initiatives. With that, we are confirming our full year adjusted EBITDA guidance of $39 million. Our adjusted EPS guidance is minus $0.22, with estimated diluted shares of approximately $33 million, and a tax rate of 23%. Our liquidity remains strong, and our capital expenditure is on track to be reduced by more than half to approximately $25 million with the primary focus on our strategic technology roadmap. In closing, as we build on a solid Q2, we are focused on managing our business prudently, maximizing return from our foundational investments and taking swift structural actions to improve our business model to unlock profitability and invest in growth. With that, we'll open the call for questions.
Operator: [Operator Instructions] The first question comes from Janine Stichter at BTIG.
Janine Stichter: Hi, good morning, and congratulations on the progress. I want to start out with some questions around the store fleet. So, I guess, first off, I'd love to hear more about the two sites you're planning for next year, what you look for in terms of site selection. And then as you think about the 25% of the fleet that's up for renewal, how -- maybe some parameters of how these stores look versus the rest of the fleet, either in terms of comp performance or profitability and how we should think about what the range of outcomes might look like for this portion of the fleet?
Sam Sato: Yeah. Janine, I'll maybe take the first part of your question, then I'll allow Heena to dive in a little more detail. So, the two LOIs we're excited for their locations. We haven't announced it publicly yet. We keep that pretty close to the vest. But as was stated in our prepared remarks, our primary criteria is obviously location, and we look at adjacencies. It's the size of the opportunity within the market share for our target consumer. And then undoubtedly, we've got some financial criteria that we look at. We stated on our last call that in 2023, our entire fleet was four-wall profitable, and yet we continue to look for improvement and want to ensure that we set appropriate hurdle rates on key metrics so that the store fleet continues to be additive to the company's results, both in terms of sales and profits.
Heena Agrawal: And then to add to that, as we look at the fleet that's coming up, so we have about 15 stores coming up for lease renewal by 2026. And the way we are evaluating it, we are looking at a higher threshold of profitability as the renewals come up for those sites and we are evaluating all options, whether it's remodel, relocate or exit. So that -- as we look at our entire portfolio structurally, we want to make sure that it's improving in profitability overall.
Janine Stichter: Perfect. And then, I also want to ask about gross margin. So, it sounds like you're really seeing the benefits from the sourcing initiatives. Maybe a bit more color on how that unfolds and it sounds like there's a longer tail on those benefits. So kind of what that looks like over the next year or so? And the,n on the flip side, it sounds like you're seeing consumers continue to gravitate towards clearance. Just more color on what you're seeing from a consumer lens, how you're seeing them dropping and what you're expecting from a promotional standpoint?
Sam Sato: Yeah. We talked about the introduction of our product development and sourcing strategic initiative. And in a vertical operation like ours, that's one of the most critical, an important strategic unlocks to allow us to not only compete long term and improve our profitability, but quite frankly, it's about bringing to market high-quality innovative products, importantly, more frequently increase our speed to market, meaning from ideation to actual on the floor, so to speak. And obviously, at the same time, leveraging our size and expertise to improve our profit margins. And as we have now over a handful of quarters started to really build out that team and bring in expertise to help us leverage our relationships. Our team has historically done a really great job within product development. I think this is the next level to that. And based on our time lines, we're now starting to see the benefits of that and see it flow through. In terms of the consumer today, we're being cautious about our outlook as we move forward. At the same time, we've talked a lot about our philosophical approach to ensuring that our inventories remain clean and healthy. And our clearance inventories ticked up a little bit at the end of Q2, and we are swiftly taking action against that and that impact we've contemplated within our guidance. And at the end of the day, we don't want to be carrying pre -- past season's clearance inventory into the next season and certainly not into the next year. And so, we're going to be really, really focused and urging about getting that in line. The great news is although it ticked up a bit, the quality and health of our inventory is in a really good place, nearly 90% of our current inventory is current season's goods. And so, this is a moment in time, we've got to address it and maybe not unlike other times we've had or will have, but we're going to stay focused on turning that inventory and focusing on new product innovation and bringing just great products and stories to market.
Heena Agrawal: Yeah. And just to add on the gross margin piece, Janine, we -- like we said, in Q2, we delivered 90 basis points for the full year, we have line of sight to 150 basis points net of the inventory clearance issue. And as we look ahead, this is a tailwind that is expected to continue for the next four to five years, as we sourced a higher percentage of our products from -- directly from factories. And our goal is to get us back to and ultimately exceed the gross margins that we had pre-pandemic. Just in terms of a little bit more color on where gross margin is going. On the promotion piece, we're going to continue to be flexible and agile. Our approach is to stay competitive, make sure our brand has integrity with our pricing and that we are balancing both sales and margins. And so that's kind of our approach as we are looking at the second half but we feel very good about our second half in terms of all the innovations coming to market that Sam mentioned. And with Eli on board, we are really excited about the disciplined approach he's going to bring to the merchandising.
Janine Stichter: Perfect. That's helpful color. Thanks so much. I'll pass it on.
Sam Sato: Thank you.
Operator: The next question is from Jonathan Komp at Baird.
Jonathan Komp: Yeah, hi. Good morning. A couple of questions this morning. Maybe first, following up on the store topic. When you look at the retail stores, I'm curious what you make of the traffic declines that you're seeing. And given the lower traffic, do you still expect the store base, all the stores to be profitable this year? And if you were to consider closing some stores in the future, any sense of what impact that might have on your direct business in those markets?
Sam Sato: Yeah. Jonathan, a couple of things I'll say. As we've discussed in the past, traffic trends in the stores have been challenging, we saw the trends improved sequentially this last quarter. Having said that, we're starting to see where we're getting benefits from a multichannel market strategy, although stores have declined. We're seeing improvements in our online business in those markets. Importantly, we've started to maybe unlock some real local in-store events that are, in fact, driving traffic back to the stores that it's not a price-driven event like this Underwear Trade-Up event. I said in my prepared remarks, and I want to just emphasize this because it's really, I think, important but gives us an optimism around an event like that is, in the first one in April, we had a pretty good response from the female consumer that was actually participating in the trade-up event. And that number in terms of the proportion to total people coming to the stores to trade up the proportion of women's anticipating jumped dramatically. And so, we think that we've now had a couple of those. We've had smaller tests in some other categories that is showing similar results. And so, we believe we've unlocked some really, really valuable and relevant experiences for the consumer. As it relates to the profitability and back to Heena's comments around our store portfolio strategy, we're looking at a combination of new locations as well as rationalizing the current portfolio based on productivity and profitability. And as stores come up for renewal, we've got about 25% of the chain here in the next, call it, year and a half. We're also looking beyond that and engaging our landlords and discussions where we believe we can make some meaningful improvements in the profitability. And in some cases where we just don't believe it's going to meet our thresholds, we're open and prepared to exit those locations. So, our focus is really, really deep on ensuring that the retail portfolio is a profitable contributor to the overall enterprise. At the same time, we recognize the importance of a multichannel ecosystem and the benefits it provides the company from a consumer engagement and sales and transaction perspective.
Jonathan Komp: Got it. And then maybe to follow up on inventory, just to ask a little bit further the sequential dollar increase from the first to second quarter looks pretty substantial, maybe the largest that we've seen in the past for Duluth. So, could you maybe give a little more color? Were there any early receipts? Are there signed some of the new categories aren't resonating? And maybe a broader question about sort of SKU proliferation and how you avoid adding too much in terms of the overall SKU count as you pursue some of these new categories?
Sam Sato: Yeah. So, in Q2, we shared in Q1 coming out of -- let me be clear. Coming out of Q4, sold a lot more units in a highly promotional environment. So, we came out of Q4 in a much leaner inventory position than what we had projected when we were placing that spring season orders. And so, one of the areas that we sold through at a higher rate was our core inventory, which had an impact on our Q1 sales. As we ramped up heading into Q2, not only were we able to react to our core products, but the team did go back and react to some areas within the spring/summer collection that they thought we were light on. Those orders weren't receded until April. And so candidly, it cut short our selling window which impacted our sell-throughs and led to higher clearance inventories. And as I said before, we're going to address that here this quarter. We're going to continue to see sequential improvements in our inventory levels, clearance specifically as it relates to the penetration to the total. And largely, I think the health of our inventory, as I said, to Janine, nearly 90% is current season's stock. And so, we feel good about where we are today, and we've got a little bit of this moment in time where inventories are ballooned.
Jonathan Komp: And are you willing to share how much incremental markdown pressure? I know you -- given the outlook on a net basis for the gross margin, but how much incremental discounting pressure are you assuming or any detail there?
Sam Sato: Yeah, that's contemplated in that 50 basis points that we took back for the year-end guidance.
Heena Agrawal: Yeah. So Jonathan, just reiterating, we had 200 basis points [indiscernible] cost and sourcing initiatives, and we've layered in 50 basis points to ensure we come out clean and are able to take mitigating actions for clearance inventory in the second half.
Jonathan Komp: Okay. Great. And then, Heena, just one last one, if I could follow up. I know you don't guide quarterly specifically, but third quarter typically is your lowest profitability quarter. So, I'm wondering if you're expecting to be flat or positive on adjusted EBITDA or any other just directional color as we think about modeling the quarters?
Heena Agrawal: Yeah. I think from a top-line perspective, the quarter is expected to follow the seasonality as in prior years. From a margin perspective, I would say, given the clearance inventory, we will see higher pressure in Q3 as we try to clean out of it sooner rather than later.
Jonathan Komp: Okay, great. Appreciate the color. Thanks again.
Sam Sato: Thank you.
Heena Agrawal: Thank you.
Operator: Our next question is from Dylan Carden of William Blair.
Dylan Carden: Thanks. I'm curious if you can provide any color on just the range of performance between the stores. And sort of what's the best way to think about the productivity? If you go all the way back to kind of 2017 when you're really ramping the count, it's more or less half since then. So what's -- is that the entire fleet? Is that a factor of sort of an early pop from direct business? I guess -- and the ultimate sort of theme here is just to kind of get a sense of what the potential impact could be as you close or renovate?
Heena Agrawal: Yeah. So, Dylan, maybe I can just give more of how we are thinking about the store portfolio. The stores play a critical role as we think about our omnichannel strategy. Our customers that come to the stores and shop online, they, on average, have a higher transaction or higher order value, plus they shop more than twice with more than twice the frequency compared to single channel. So, stores remain a critical part of our overall omnichannel strategy. They play off each other. They also offer a lot of services like buy online, pick up in store returns, et cetera. So, they are a critical component of offering that seamless consumer experience. In terms of profitability of the fleet, like any fleet, there is a normal curve. So, some stores are in the top 15, some are in the bottom. And that's why we are -- we have a three-pronged approach. One is -- to address one of the things that was asked earlier on store traffic. One prong is making the brand awareness and store awareness for the entire fleet, higher by having locally targeted efforts on marketing and experiential events. The other one is rationalizing our current fleet and holding them to a higher standard of profitability as we come up for renewals naturally, whether it's through remodel, exit or relocate. And then, the third one is adding new sites to gain market share with our target consumer in the context of the omnichannel market. So that kind of how I would look at the overall portfolio, the goal is really to grow that entire portfolio profitability.
Dylan Carden: So, I guess as you think about square footage growth over the next five years then as these leases come through, between openings and rationalization, is the goal to kind of maintain a flat overall square footage to more productive level? Is that sort of broad strokes what we're talking about here?
Heena Agrawal: We will give you more specifics on those as we get deeper into especially the renewal portfolio. Like we said earlier, we are on track to open two new stores in the back half of '25 and our goal is to maintain a healthy level of stores that are growing and profitable.
Dylan Carden: Let me try another one. So, if you're -- it seems like you've got a better handle on sort of line of sight into a lot of really nice cost efficiencies here. I'm curious as you kind of roll those through when you might expect to kind of get back to a level of more consistent profitability. Is that something that you think -- you kind of mentioned four years there on at least sort of the gross margin side. Is this going to be a sort of relatively slow process, or do you think this model can inflect relatively quickly kind of the next year?
Sam Sato: Yeah. I think Dylan, Heena has brought some incredible rigor and insight into how we're going about both our benchmarking studies as well as then the application of those findings, evidenced in part with the announcement we made to close one of our legacy fulfillment centers through the lens of the investment we made in the Adairsville and the efficiency gains we're getting out of that. And so, I think that that's an example of where -- there's some real-time benefits that we will continue to look for as well as ensure that we have visibility to what the longer-term implications are. That, coupled with some of the benefits we're starting to see from some of these other initiatives like our product development and sourcing initiative. I think we're getting some benefits on the margin line. We're getting some benefits in the SG&A line, this legacy fulfillment strategy, the capacity and optimization strategy, it's leading to Q4 benefits of this year. And then, on an annual basis, a new baseline run rate of about a $5 million reduction in our SG&A line and that's real money. And so, we believe that, that benefit is actually not coming at the cost of us doing more business for flowing through greater profitability. So, it's a combination of the different line items that are attached to our different strategic initiatives. And I think this is an ongoing focus of ours, there's really no end in sight in terms of us continuing to look for ways to optimize our costs and get ourselves into a place where our investment strategies really are driving greater top-line and flow through.
Dylan Carden: Very good. And just -- I just want to be sort of crystal. The comment that you can get gross margins above pre-pandemic, are you talking about getting back to, if not, above the 57%, just so we're using real numbers?
Sam Sato: Yeah, I would just -- I would say directionally, our goal and what we're marching towards is getting gross margins at or better than pre-pandemic levels.
Dylan Carden: Okay. And then I had one more that's escaping me, apologies. Freight. And maybe I missed it, but is there any contemplation of higher freight rates in the guide, or is it that given how you turn inventory that, that's more like 2025 story that we can kind of wait for?
Heena Agrawal: Yeah, that's more of a '25 impact versus the '24 impact, but yeah, we've contemplated the various headwinds and tailwinds in our guide.
Dylan Carden: Excellent. Thanks a lot.
Sam Sato: Thanks, Dylan.
Heena Agrawal: Thank you, Dylan.
Operator: This concludes the question-and-answer session and concludes the conference. Thank you for attending. You may now disconnect the conference call.